Operator: Thank you for joining Forward Air Corporation's First Quarter 2021 Earnings Release Conference Call. Before we begin, I'd like to point out that both the press release and webcast presentation for this call are accessible on the Investor Relations section of Forward Air's website at www. forwardaircorp.com. With us this morning is CEO, Tom Schmidt. By now, you should have received a press release announcing our first quarter 2021 results, which was furnished to the SEC on Form 8-K and on the wire yesterday after the market closed. Please be aware that certain statements in the company's earnings press release announcement and on this conference call are making forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements which are based on expectations, intentions and projections regarding the company's future performance, anticipated events or trends and other matters that are not historical facts. These statements are not guaranteed of future performance and are subject to known and unknown risks, uncertainties and other factors that could cause actual results to differ materially from those expressed or implied by such forward-looking statements. For additional information concerning these risks and factors, please refer to our filings with the Securities and Exchange Commission and the press release and webcast presentation relating to this earnings call. The company undertakes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise. And now I'll turn the call over to Tom Schmitt, CEO of Forward Air.
Thomas Schmitt: Thank you, Tony. And good morning to all of you on the call. I think it's fair to say we are hitting our stride. On our last call, which was February 12, I shared five observations where we showed and pointed towards momentum. Well, this momentum is continuing and it's accelerating. Let me double-click on those observations and refresh them. The first one I shared was we were looking at Q4, and we said this actually looked like an operational beat, if not for the cyberattack. So it ended actually up being a miss. Now you fast-forward to Q1, this was a beat. There was a beat despite significant professional services fees in the wake of the cyberattack. And also making sure we had a strong road map in place standing up to a comparison with our activist shareholder, which we, by the way, ended up in a great cooperation agreement with. But still, despite all of that, Q1 was a beat. Then secondly, the observation I shared in February was, we actually had good momentum also going from Q4 into Q1. I pointed specifically to the month of January and the double-digit tonnage increase over January previous year. If you look at the momentum in the quarter, January was just the start, March, in our LTL core business, strongest March ever, record revenue, record operating income. So we clearly continued that momentum. If I look at the first month and April 30 of today, the first month of Q2 continued very, very strong tonnage. There were several days in the month of April, tonnage-wise in our LTL business that we had never seen at those volume levels before. The third observation I shared was about disciplined pricing. If you remember, on February 12, we talked about the rate increase - the annual rate increase we actually activated on February 1. The capture rate of that rate increase was at record levels. No exceptions, no exemptions. We needed to make very certain. We put in place the technology, the drivers and the teams to make sure we keep our customer commitments and we needed those rate increases for that and we got them. That disciplined pricing will be a hallmark of our company, and it continues. In March, we had to adjust for long haul distances above 2,000 miles in our core LTL business, again, to make sure we can invest in getting the teams to keep our customer commitments. So that disciplined pricing continues. That momentum is actually accelerating. The fourth observation we made was about continued organic momentum. If you remember, last year, we actually added six more access points to our core LTL network. And we have now more than 100 locations in our LTL business. And one of those six access points we added last year, Fontana Inland Empire, is already in the top 15 of our volume across our entire LTL footprint. So these are significant additions to our network. Again, far from done, next week, we're going to add another access point, Wichita, Kansas, again, out of our final mile location, making sure we actually take advantage of our footprint across our business units. And next month, we're going to add an LTL access point in the Pacific Northwest in Spokane, Washington. The fifth and final observation I shared in February was the continued momentum also on the inorganic side, adding tuck-in acquisitions in our final mile Intermodal grade business. This particular time, last time we talked about proficient, a great addition to our Intermodal business. It's already contributing a couple of million dollars of revenue in our Q1. This week, on Wednesday, we announced actually an acquisition in our core LTL space. We hadn't done this in years. We actually used organic growth primarily and exclusively over the last five years in our core LTL business. Now we're using the same recipe that we use for Final Mile Intermodal. Also for LTL, we added a great company, J&P Hall Express, to our family, and to make sure we get more capacity to serve our customers in the Atlanta area, a very tight market in Southern Georgia and in Northern Florida markets. One of the analysts actually talked about us acquiring a baby Forward there. So let's endearingly look at it that way. So when you look at these five observations together, it is momentum that's actually continuing and accelerating. So the question is where does this take us going forward? So Q1 was a beat with a run rate March that's easy in double-digit margin territory. We take this momentum into Q2. We're guiding for a record Q2, way ahead of a Q2 that we had in a peak economy year 2018. Right now, we are seeing double-digit growth rates and margins in a few of our months throughout the year. And I expect to see those double-double numbers on a full year basis fairly soon. Next year is actually a distinct possibility. That momentum gives us confidence. We are doing good things faster, and that's, I think, one thing that this Forward top team has been just tremendous at, we're doing good things faster. And also, I should never forget that we have an amazing set of drivers. They are our heroes. Every single day is Driver Appreciation Day. If you look back to February, the second half of February, almost across the country, certainly from the Midwest and Texas all the way up to the Northeast, our drivers, once again, made above and beyond to deliver on our customer commitments. So with that, I'm thrilled about the momentum we're having. We're far from done. And if you remember, we also, over the next several weeks and months and years, will work with our customers to bring back the business that went temporarily to sleep last year, the events business. That's still coming on top of the momentum that we already are seeing. So I feel very good about where we are. We're doing good things faster. And as I said at the top of this call, we are hitting our stride. So with that, back to you, Tony.
Operator: Thank you. The floor is now open for questions and comments. [Operator Instructions] Our first question comes from the line of Jack Atkins with Stephens. Please go ahead.
Jack Atkins: Great. Good morning, Tom. And congratulations on a great quarter.
Thomas Schmitt: Thanks, Jack.
Jack Atkins: So if I could start, just talking about the expedited business for a moment. I'm really curious around the longer-term plans for network expansion there. You mentioned that you're at 100 terminals or access points to the network today. You're planning on adding a couple of more that you referenced in the prepared comments. Where do you think you stand in terms of the number of terminals at the end of the year? And when you look out over the next two to three years, where do you think that number is going to end up roughly?
Thomas Schmitt: The reason, just to be also very clear, from access points where we can [Technical Difficulty] and both into the access points deliberately because [Technical Difficulty] trade out of more than 10 Final Mile [Technical Difficulty] and most importantly, it's an [Technical Difficulty] today. I said, Jack, we did six additions last year. I expect us to do more work this year. If I look at premium freight across $1 billion of an addressable market, there are significant or destination points that we don't have. Sometimes we don't - it's good to know and to remind ourselves, we do not have any wisdom, so we look left and right. [Technical Difficulty] having 200 terminals or even approaching 300. So I would expect Jack that, when we have the same conversation in three years, we'll have 30 or 40, perhaps even 50 more access points than today. Then many of them will be agents that we convert to our own terminals. And some of them, like Fontana, which is now a top 15 volume location, will be greenfield. That was the greenfield that we put in place in the fourth quarter of last year. So expect us to add at least 10 a year and I think that momentum will probably accelerate. The number will probably be high.
Jack Atkins: Okay. No, that's really interesting, and that's great to hear. When you think about the network as it stands today, you referenced record levels of tonnage during certain week over the last few months. How much available capacity would you say you've got in the network today from a terminal door perspective? Is there a way to kind of quantify that? The amount of late capacity available to you?
Thomas Schmitt: If you look at capacity bottlenecks these are getting close to capacity. And as a good example, great acquisition, great company. We actually competed against them, and we know that [Technical Difficulty] It was also to Greater Atlanta metro market. One of our largest terminals [Technical Difficulty]. So that's also a way to [Technical Difficulty] relief in a tight market. Same in essence was true with Fontana Inland Empire, which provides [Technical Difficulty] congested Southern California market. So from bottleneck in terms of making sure we have enough capacity, the buildings is one thing I'm looking at that's referring to. More importantly, we're looking at the actual qualified labor in the buildings. Just in the last month, we filled half of our open positions because we had to, and quickly 148 new jobs in a very few weeks. Secondly, the most scarce capacity is obviously always going to be on the driver front. And we're doing tremendous strides and tremendous work, both replacing the need for team drivers, which are the hardest ones to recruit, by introducing more relays, more meat and swaps where we can also swap teams. We also are using some of the company to actually [Technical Difficulty] teams, which help us to get - to go longer distances. And we also recently, like many of our competitors, did adjust driver pay. But the short answer, Jack, would - capacity in buildings. We have multiple ways to get that, including using our Final Mile [Technical Difficulty] acquisitions like J&P Hall. Secondly, we are [Technical Difficulty] our Chief People Officer and his team are all over making sure that our open positions in our operations are actually filled. And then we are getting very, very creative, both replacing demand for team drivers and also adding team drivers.
Jack Atkins: Okay. So that's helpful. And I guess my final question, before I turn it over. When we think about the Intermodal business, there's been some margin erosion there over the last couple of years. Obviously, there are a lot of different things going on within the broader Intermodal market, but it certainly feels like there's great momentum, and then there's quite a bit of incremental demand coming. I know port congestion has been a headwind. How are you thinking about the direction of your own Intermodal business here through the balance of the year, both from a pricing perspective and then the ability to sort of improve the margins and get it back to a double-digit margin level?
Thomas Schmitt: Jack, in my mind, and I was very vocal about this on - I think also on the last call, Intermodal for me is a double, double business, double-digit annual revenue growth, double-digit margin. If I look at the first quarter, we finished the first - February was a difficult month for all of our business units, which I'm not going to find any excuses for. I sometimes have to remind myself when we have a perfect September or October with no hurricanes or tornadoes, we hardly ever say, oh, and we got a tailwind from exceptionally good weather. So I hate actually pointing out exceptionally bad weather, but sometimes, like February was extreme. Having said this, Intermodal in March, to give you one specific data point, was a double-digit margin business. I expect the same for Q2. And for me, Intermodal, with the premium Intermodal that we do and with an experienced top-notch team that we have in place there, we are overcoming those two challenges that you actually put forth, the congestion and driver shortage. It's hard. But again, I think we have an absolutely terrific team in a premium Intermodal trade business that, in my mind, is set up for double-digit margins for a long, long time. I expect it to happen this year.
Jack Atkins: Okay. That's great to hear. Thanks again for the quarter. Thank you for the time and congrats on a great quarter.
Thomas Schmitt: Thanks, Jack.
Operator: Thank you. Our next question comes from the line of Tyler Brown with Raymond James. Please go ahead.
Tyler Brown: Hey. Good morning, Tom.
Thomas Schmitt: Good morning, Tyler.
Tyler Brown: Hey, you can hear me. Its breaking up a little bit, but I just couldn't tell if it's my phone or not. But anyway, just real quickly on the March margins. So you noted that they were above 18, but I'm a little unclear. Is that stripping out Final Mile? Because between here and there, you've added a couple of hundred million dollars of Final Mile revenue that would be dilutive to that segment. So I was just kind of curious on the details there.
Thomas Schmitt: Sorry, Tyler, I want to make sure I answer the question that you actually asked and not one that I think I'm imagining. Are you talking about March?
Tyler Brown: Yes.
Thomas Schmitt: Okay. So if you talk about LTL specifically, and you always have to look back to the last several years versus say [indiscernible] like 20 years ago when it was a much, much, much smaller business. The margin for the LTL business for the month of March was 15.6%, and that number is higher than any March margin number for LTL in recent history, like when we were a door-to-door and an airport-to-airport company. My commitment always was we're going to keep that airport jewel going. I'm thinking of the airport-to-airport LTL business is almost like a value stock. It's $400 million, $500 million perhaps of LTL premium airport-to-airport business, where we strive to be the best in sensitive handling, hitting tide time windows, and we are preserving that value stock with those high single digit margins, I'm talking 18%, 19% margins. That was there 15, 20 years ago, that's still there today. The challenge we had was, when we expanded our total addressable market in premium freight from $600 million, $700 million to $7 billion or $8 billion, 10x in that total addressable market, we had to go premium freight from anywhere to anywhere, door to door. There, we initially lost our shirts. We actually lost money. And then over the last two or three years, got really good, really fast. We're still quite a bit of untapped upside. That was initially money losing half of our LTL business to address that LTL expansion and make it also a growth stock in addition to the value stock that airport-to-airport represents. We lost money initially. We brought it up into the single digit margin territory. In the month of March, we walked it up into double-digit margin territory. So Tyler, when you do the math, the 15.6%, roughly speaking, half of that is the value stock of airport-to-airport that's in the high single digits - sorry, high teens, 18%, 19%. And the other half is the door-to-door, which is the growth stock in the LTL, so to speak. That helped us 10x TAM, and that's in the low double digits, getting us to a 15.6% average.
Tyler Brown: Okay.
Thomas Schmitt: Is that clear?
Tyler Brown: Yes. Yes, that's very helpful. Yes. Thank you for that. So can you talk a little bit - because you mentioned it, I think January tonnage was up something like 10%.
Thomas Schmitt: Right.
Tyler Brown: My hunch is that February was way off, and then March really bounced back. But can you give that tonnage by month?
Thomas Schmitt: Sure. So first of all, you say February was way off. Way of is all relative. So way off was still up. So when I said January was up 10% double digit, that's what we said on our last earnings call. February was still up 5.7%, so that's not nothing. And March was such phenomenal. It was 32.6% up over last year. Now having said that, you will see us do exactly what we did in the earnings release this time. We will do year-over-year, but we also will do something as much more meaningful. We typically will take you back to kind of a better comparison year, maybe 2019, maybe 2018. It's one of those two. The 32.6% March this year over last year, there's a lot of that is kind of record goodness and a lot of it also starts being the fact that the second half of March last year was the beginning of noticeable COVID, right? So the - when we talk about Q2, in three months, you will see us do a lot of mental ping-pong back and forth with you guys to make sure that you have comparison sets that actually are meaningful, which is not going to be against 2020, it's going to be against other benchmarks.
Tyler Brown: Right. So as we think those, we think about like - and I know you haven't given Q3 guidance, obviously. But I'm thinking about this just conceptually, I think usually your earnings are relatively flattish sequentially from two to three, but you've got this vaccine rollout. I think New York City announced they want to reopen in July. It just seems like that could be a sign of things getting better. You mentioned the event business is still largely asleep. But does it seem crazy that the second half sequentially could be maybe better than what would be "normal"?
Thomas Schmitt: Yes. So if I look around - this is why - I mean, I tend to listen to people who kind of look at the environment for living. And I do believe there's a pretty good chance that we have a weird set of waves of freight peak kind of one following the other. Initially, there was always pent-up demand in the second half of last year. And then you went into this year with e-commerce, keeping, going, now we are having basically getting into - if you look at the Q2, a lot of the discretionary spending all goes into appliances into things that actually will be moved, not into events and travel yet. That's probably going to switch. Now fortunately, team Forward, we're actually sitting at a point where if there's lots of appliances and lots of heavy goods that are of high value, that people buy because they're all stuck at home, good for us. If there's more travel leisure events activity, and there's certainly the Taylor Swift concerts coming back, good for us. So we actually will take it on both sides. So we have a good chance that, that wave of economic peak will be shifting towards a different set of activities, as you just pointed out, like more events, more opening up, more hospitality. We happen to be in a space where we can actually gain from that because that fits our position execution DNA the same way the high-valued appliances do.
Tyler Brown: Right. And so I want to kind of - just my last question, and I hope I'm not being too leading here, maybe you'll indulge me, maybe not.
Thomas Schmitt: We'll see.
Tyler Brown: But I want to come back to 2018. So if you think about it as a more cleaned up year. So I think in '18, you did - and this is going to be my number, but let's just say about $150 million of EBITDA ex-Pool. But since then, again, you've acquired - I think, if you take Intermodal and Final Mile, you've added almost $300 million of revenue acquired since then. You've added a handful of terminals that you talked about with Jack. It sounds like you're even running at a better level - at a core level than 2018. So - but why wouldn't that jumping off point into next year be at least a couple of hundred million dollars of EBITDA?
Thomas Schmitt: So we - you said one thing upfront, Tyler, not to be - we haven't done full year guidance yet. But let me just speak a couple of points back to you, and then I'll make a statement out of that. So the first thing is when you compare '21 to '20, and I just talked about two minutes ago with you about March, where we said, in March, tonnage for LTL was 32.6% up versus March of last year. Then I said, that's not really a good comparison because of the beginning of COVID no disability last year in the second half of March. So a better comparison would be in '18, where the March tonnage was even up 10.8% versus March of '18. So this is boom times right now. And then with your comments about the second half, we're going to bring the events business back together with our customers. Again, as a reminder, these are still the same customers that I talk to every single day, which, unfortunately, had to focus on more essential goods with them but it's the same customer. So we're talking with the same customers on a very collaborative way. Hey, as and when we can, let's do a bang-up job to bring up - bring back that events business. So if I add all this up, again, we have not done a forecast for full year nor do we do guidance for full year. But looking at where we're sitting right now, there's a distinct possibility that we should be beating 2018.
Tyler Brown: Okay. All right, Tom. Thank you so much.
Thomas Schmitt: Thank you.
Operator: Thank you. Next, we go to the line of Todd Fowler with KeyBanc Capital Markets. Please go ahead.
Todd Fowler: Great. Tom, good morning.
Thomas Schmitt: Good morning, Todd.
Todd Fowler: So I wanted to spend a little bit of time on the margin progression, both on kind of what you got embedded in your guidance for the second quarter and then you gave some comments about getting back into the double-digit range into next year. But just starting with 2Q, it kind of seems like you're implying a low 90s OR for the combined company. We know that there were some costs in 1Q. Can you talk a little bit about what you're expecting from just a seasonal standpoint into the second quarter? And maybe why margins would it be a little bit stronger based on some of the trends that you're talking about you're seeing currently?
Thomas Schmitt: Yes. So just to confirm back to you, I do believe there's a decent change that we are getting close to a double-digit margin in Q2 as a company. So - and - but we do have to look at seasonality a little bit. March is typically a very, very strong month. The second quarter, overall, is typically a very strong quarter, but March is one of our strongest months. So I do believe there's a chance of sequential improvement Q2 over Q1, certainly. I mean that's what our guidance suggests. I mean we're going to go to 98. That's our midpoint, 96 to a dollar. That's a record Q2. We never had that. How high is up? We'll see. I love our April, and April is over in 10 hours or something. So again, I think right now, the team is really getting better at a record pace. I do believe there's a good chance for double-digit margins in Q2. That's a bit of a stretch, but we can get there. Again, month-by-month, there are certain months where we already have it easily in the back. There is other ones where we're still getting there. But I wouldn't be surprised, Todd, if you and I are positively surprised when we have another call in three months.
Todd Fowler: Yeah. Okay, Tom. That's kind of what I'm gathering. So that makes sense. And then looking beyond, what's the right way for us to think about a reasonable cadence of margin improvement for the business going forward? I know that growth is a key component. Pricing is a key component. But as you look at the business and you think about over the next couple of years, two to three years, is 100 to 200 basis points the right cadence? Or do you feel like that there's a step function as some of the core business comes back, some of the growth mechanisms were put into place something else that drives that? I'm just not looking for guidance, but just what do you feel is realistic with how the business is positioned right now?
Thomas Schmitt: Yeah. So I'm going to start kind of where the complementary business is Todd first, and then I'm going to go back to the main - the core business, the LTL, to kind of top it off. In the mall grade, I was very clear, back-office synergies, selling synergies with the other business units and by itself a very, very focused high-value kind of double-double business by itself. So I almost would put that one in. Ron Wales and his team do an amazing job, and they're just using the same precision execution DNA in that business. So I'm not concerned about them. Todd, I would think about them as a double-digit margin business. Then you go to the expedite freight business, Truckload and Final Mile, both of them are very complementary. We talked about this a lot in terms of collaborating locally with the same buildings, in many cases, with the same drivers, sometimes doing local pickup and delivery for LTL and Final Mile deliveries. Over the road, we hire for one fleet. We also use backhaul, sometimes one service and weigh out another service, LTL and TL, respectively. So I use - I look at Final Mile and Truckload as by themselves high single-digit margin businesses, not double-digit but high single, but very complementary in helping out its big sister, LTL. LTL, the way I look at it, this goes back to what I said before, we have two halves of that LTL business. We have that value LTL, which is airport to airport. It's not going to be super high growth, but it's going to be very high teens. So think of that airport to airport, the same thing it was 15, 20 years ago, an 18%, 19% margin business. That's my expectation, certainly not worse than that. Then what we are doing is the other half, the - from anywhere to anywhere, surgical pricing, by geography, by length of haul, by customer segment, we're getting better and better. So if you take that half, up from 10%, 11% to 12%, 13%, 14%, the weighted average for our LTL business might very well end up 15%, 16%. If you remember last time on this call, when we still had a full time CFO who's kind of stopping for right now, Mike actually talked to that kind of average going towards 15%, 16%. So that I would be expecting as a company. LTL 15%, 16% over the next several years. TL and Final Mile, very complementary with LTL in the high single-digit. And Intermodal, that's a good banking on a double-double by itself with a [indiscernible] that's just first class.
Todd Fowler: Yes. Okay. Great. That helps. And you are the full-time CFO at this point. You still have a full-time CFO, just wearing multiple hats, I guess. So Tom, my last one, Jack asked about latent capacity on the physical terminal side. Can you talk a little bit - you guys have done just a great job this cycle in managing your PT costs? As we think about volume coming back, I think that you did some pay actions with some of the owner, operators recently. Can you talk about your view on keeping outside miles managed to this cycle, particularly as we see kind of the strength in tonnage coming back right now in the network and some of the tightness we're seeing overall in the spot market? Thanks.
Thomas Schmitt: Yeah. Todd, one of the toughest jobs we have. And Kyle Mitchin, our Chief People Officer, and we talked about this. If you talk about my mind share and energy, supporting our team, and I'm in team and customer support, that's my job. Lots of mind share and energy spend on that topic, like across the industry, right now in the U.S. alone, there's about 100,000 truck drivers missing. Not there, needed but not there. That number, in the next five years, will double. So the challenge for whoever you talk to is going to get hard, not easier. When we talked about more for talent 5, 10, 20 years ago, we were thinking about executives and white glove people. The war for talent right now is on the front line, on multiple dimensions, but certainly anything from truck labor to truck drivers. So that challenge is going to get harder. I mentioned before how we have become very creative, whether it's something else that may not be so creative, like something is maintained, but important as making sure we're competitive in paying our drivers. But also making sure we actually figure out where can we use relaxes, where can we use meat and swaps and use solos versus teams, which solars are easier to get. Where we can use company drivers and see them as teams into our own trucks. So you're doing more and more and more of those things. I also - we should never forget retention of your existing drivers is job number one. The easiest driver to have to do more to do a great job with our customers because they know our customers is the one that we already have on board that we should be keeping. We are spending a ton of mindshare and energy with our drivers, I talked about this many times before, to make sure we make this the most desirable home. Our retention rates for drivers are about twice as good as the industries, because we listen to them. We did a survey with them. We make sure there's predictable home times. We have a bit less short waiting times when they call dispatch. And these things matter. Next week, we have the driver board. We talked to 12 of them, and they will broadcast to 4,000. How we're making products with them. So we don't have a magic bullet here. This will be one of the toughest jobs for us and for the industry. I do believe that the team here is doing a remarkable job, both in terms of managing supply and demand as well as truly going above and beyond, with good intentions and competence, to make this the number one choice for those drivers that we have. But no mistake here, Todd, this will be one of the toughest jobs for us over the next several years. And we're far from perfect, but we're pretty darn good at it. And the number-wise, just to give you some calibration here. We're still in outside miles in the high teens. And unfortunately, half of that actually - frankly, more than half of that is California. So that remains an issue for the industry. So on the positive side, you can say we're actually in single digits outside miles ex-California. That's the same as we made last time. But including California, that number goes to the high teens.
Todd Fowler: Yes, that helps. And we know it's a tough job, but it seems like you've been managing a lot better this go around than some previous rodeo. So Tom, thank you so much for the time and the thoughts.
Thomas Schmitt: Thank you, Todd.
Operator: Thank you. Our next question comes from the line of Scott Group with Wolfe Research. Please go ahead.
Scott Group: Hey, thanks. Morning.
Thomas Schmitt: Morning, Scott.
Scott Group: Tom, did you say what April tonnage is, how it's tracking?
Thomas Schmitt: I don't think I made that statement. But if you - I mean - so I can tell you the number, but then I'll tell you the second thing, which is the meaningfulness or lack thereof. So we believe tonnage for April will be 56% higher in 2021 than 2020, 56%. Again, that's where we do the review, Scott, about how we're actually really performing in Q2. We will make very certain that we will provide meaningful benchmarks to you because that number is actually correct. I just mentioned 56% up over last year, and it's not really fully meaningful.
Scott Group: Understood. What about - how are the yields trending in April? I guess, you guys had a record GRI. The yields were up 3% ex-fuel. In the first quarter, are we seeing that momentum build as we head into the second quarter?
Thomas Schmitt: Momentum is building. Yield, I mean, it's obviously also a function of what it is we're moving primarily, right? So as we obviously also have some of the higher value e-commerce in our mix, some of the weights per shipment go down. So we do actually have an issue there. But overall, when I look at all the core metrics of revenue per shipment, of revenue per mile, we feel very, very good about those numbers. But we do have to realize that the high-growth exponential growth of e-commerce has happened and is here to stay, and that will have an influence on the weight per shipment. And that's, I think, exactly what you're referring to right now with what you observed.
Scott Group: Maybe can you talk about pricing renewals? I know it's a different business, but Saia this week talked about 9% pricing renewals in the quarter. What are you guys seeing?
Thomas Schmitt: So we perhaps use somewhat different terminology, so pricing renewal is not a metric that we measure. But when you talk - that's probably kind of the - the average increase from one contract to the next is, my guess, how they're defining it. What we do see is - let me just say it this way, when we did the channel rate increase of 6% in February, we had the highest take rates ever. So the take rate was 5.4%. And the only exceptions were basically grand filed contracts for the most part. Everybody that actually - where we had an option to put the 6% in, we put the 6% in, no question asked. In some of our other businesses, actually, those increases, from contract to contract, are probably very close to what you're describing. So we have some of those in the mall business where we see those types of increases. When you look at the combination of some of the surcharges ex-California, above 2,000 miles, 15% by itself or above 15,000, above 2,000 miles, you get to double-digit renewals, the way you call it fairly quickly between a - across the board 6% and then on top of that surgical surcharges for specific, in this case, length of haul. So the 9%, don't surprise me. And I think if you aggregate our GRI actions with our accessorial surcharge actions, you get into double-digit territory. So I'm not surprised about that 9%, if that's the same definition that I'm using.
Scott Group: Okay. And then I know there's been a bunch of discussions about the margins, but - and to your point, maybe year-over-year comparisons aren't all that meaningful. So if we look at the guidance for second quarter, and compare it versus second quarter of '19, it doesn't seem like there's any implied margin improvement in the expedited business within the guidance. I guess why aren't we seeing that margin show up yet given the pricing you about just leverage to some really strong volume?
Thomas Schmitt: Well, a couple of things. One is that I do expect the Expedite Freight business for the second quarter to be in double-digit margin territory. That's fairly good. And also what you have to see the - Scott, the business that was the highest margin business, when you even went back to 2019, is the one we're going to bring back second half and third quarter, specifically with some of our customers. That event - I call it the events business, but I think anything from trade shows, conferences [indiscernible] people basically are moving around for events. That was a significant - we're talking 20% or so of our overall portfolio business, and the highest margin business. So that we will bring back that will help our margins Q2, I'm not sure, but Q2 will be double digits. The other thing you should be seeing when you look at Expedited Freight, our Final Mile business is significantly bigger now than it was two years ago, it was almost non-existent two years ago. So that helps out the LTL business. But by itself, that's a high single-digit business, not a double-digit margin business. For LTL specifically, I do expect the second quarter to be in the double-digit margin territory and close to So that number should be moving up. So I actually like the momentum we are having. I like the math I just did five minutes ago about us going in LTL specifically to 15%, 16% over the next several years, double-digit margins in the 12% range for LTL, second quarter, no questions asked. And again, as we bring back the highest margin business with our customers together, same customers that we work with on other business over the next several quarters, that number will go up, not down. So Scott, you keep me honest, but I do believe the trend line you'll be seeing, you and I both will be liking to watch that.
Scott Group: Okay. Sounds good. Thank you, guys. Appreciate the time.
Thomas Schmitt: Thanks, Scott.
Operator: Thank you. Our next question comes from Bruce Chan with Stifel. Please go ahead.
Bruce Chan: Hey. Good morning, Tom. How are you?
Thomas Schmitt: Morning, Bruce. How are you?
Bruce Chan: Good, good. Just a few questions from my side here. Maybe the first one on door-to-door. Obviously, you've inherited a lot of, let's call it, less than favorable door-to-door business in terms of the margins via acquisition. And as you think about, I think, fixing some of that legacy business. Can you maybe give us some color on what the plan is there? And really what the problems are? So is it more of a commercial issue, meaning that customer pricing negotiations are just challenging and you need to replace some of that book? Or is it more of an operational problem, meaning that you just need to improve the density maybe on the P&C side there?
Thomas Schmitt: It's - more of it is commercial, and we have taken a significant amount of actions. But I mean let me just perhaps characterize this one more time. And I know [indiscernible] as well as I do. So when we went five, six years ago from almost exclusively airport-to-airport to door-to-door, we certainly dealt with very different customer segments and very different freight and very different mechanisms of buying freight. 3PL is our fastest-growing segment. 3PL is now 20% of our total LTL business. When you don't know how to price origin correctly, in essence, in an algorithm, you might get stuck with a piece of business where you certainly have to find outside mouth, which takes service down and cost up. When you don't know that you get all the long-haul lanes and you lose out in all the short-haul rains then you basically cannot service them with solar drivers who will be back home the next night and gets harder and it gets more costly. And so we, I think, earned ourselves five, four, three years ago, a lot of scars in something that was tremendously useful, which is can we actually tap into premium freight that is exactly the core of our DNA precision execution by going from anywhere to anywhere, in essence, adding this growth stock LTL to this value stock called airport to airport LTL. And we got birth we got into robots, we got into algorithms and we didn't know how the price for geography length of our customer segment. And that's where we got better and better and better, and we still have ways to go. Do I believe we also have opportunities operationally to kick the tires to make sure we are extra efficient that we route correctly? That we do had bypasses where we should be doing that? Chris Rubel and his team are all over that right now. Our COO has taken on, making very, very certain that, operationally, we are as efficient as we need to be. So if you ask me, Bruce, commercially, we had to do a lot of catch-up. We did a ton of that already pun intended, and there's more untapped upside for us to go to or more runway. And on the operational side, Chris Ruble is matching what's Scott Schara, our CCO, does on the commercial side, which is making sure we get better and better. But if you ask me, if you went back two years, then I would say the much larger untapped upside was on the commercial side, picking the right freight and pricing it correctly. Now a lot of work has been done on that side. That's why you see double-digit LTL margins in the door-to-door business now. But there's still more to be done. We're far from done. And then on the operations side, again, Chris Ruble and his team are making very certain we're equally honing in onto excellence on that side. But it's probably two third commercial, one third operational, and we are on top of both of those.
Bruce Chan: Okay. No, that's great color, and certainly sounds very encouraging. Second question here on your recent acquisition. J&P Hall, just down to the street from you in Atlanta, obviously, they've been around for a long time. So I'm sure you've been aware of their presence. You talked about not being in the LTL M&A game for quite a while. And I realized that part of that, at least, is probably due to the difficulty of overlapping network integration. But when you think about getting back into this LTL M&A game, what gives you more confidence now that you can do kind of a better job of it?
Thomas Schmitt: I think the fact that over the last five, six years, between Final Mile and Intermodal, we did 13 acquisitions. And I think 13 to know that each one of them was accretive. And there's a good kind of mechanism. We have an M&A leader, Carl Rickets, that's part of Michael Hans' team, who, frankly, over the last several years, together with the operators, figured out a little bit of a machine kind of how we look for things, how we create things. And we just frankly we stretched ourselves over the last year. We said like, how can we actually apply this magic formula to our core business? And J&P Hall is a first-class company. That actually for us is also a great exploration area like, hey, that's the same magic formula working our core LTL business that we actually made work in Intermodal and Final Mile. So the confidence, Bruce is specifically earned confidence based on the track record of a formula that our M&A team, together with our operators, made work in final in the mall rage in more than 10 cases over the last five years. And what we're looking to do is copy paste, use the same principle in our core business. And I believe it should work. And I'm very hopeful that this will not be the last time that we actually also grew inorganically in our core LTL business.
Bruce Chan: Okay. Great. And then maybe just one last question here and a quick one on capital allocation. Specifically, when you think about where your stock is trading now, what are your thoughts around buybacks versus some of the M&A that we just talked about versus other uses?
Thomas Schmitt: So I mean this is - and I'm going to be a bit generic here, but we obviously have a number that we project for our weighted average shares outstanding at the end of the year. That number actually is exactly 26,900,000. So - but if you unpeel the onion, what's behind this number, we obviously have a priority that we always go after. The first priority is invest in our core business. The second one is obviously, if we invest on top of that inorganically, we always look for opportunities first. Now once we satisfy those enhancements of our existing business and new business that we go after, then we obviously get into repurchase territory. So we are wide open to do that. And again, we have been doing this, and we will continue doing that. But I also want to believe that our profitable growth pattern that we put in place over the last several years gives us a lot of opportunities to actually use our capital building out our existing business and building out on the inorganic growth side. We just talked about with J&P Hall in our core business. But repurchases will continue to play a role at the same time, whenever we find more accretive ways to expand our business, we obviously will do that.
Bruce Chan: Okay, great. Well, thanks for the time. I'll turn it over. I appreciate it as always.
Thomas Schmitt: Thanks, Bruce.
Operator: Thank you. That concludes Forward Air's first quarter 2021 earnings conference call. Please remember that this webcast will be available on the Investor Relations section of Forward Air's website at www.forwardaircorp.com, shortly after this call. You may now disconnect.